Operator: Good morning. Welcome to the Silicon Laboratories second quarter earnings call. All participants will be in a listen-only mode until the question-and-answer session. (Operator instructions) This conference is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the meeting over to Shannon Pleasant. Ma'am, you may begin.
Shannon Pleasant: Thank you, and good morning. This is Shannon Pleasant, Director of Corporate Communications for Silicon Laboratories. Thank you for joining us today to discuss the company's financial results. The financial press release, reconciliation of GAAP to non-GAAP financial measures, and other financial measurement tables are now available on the Investor page of our Web site at www.silabs.com. This call is being simulcast and will be archived on our Web site. There will also be a telephone replay available approximately one hour after the completion of the call at 800-873-2051. I am joined today by Necip Sayiner, President and Chief Executive Officer; Bill Bock, Chief Financial Officer; and, Paul Walsh, Chief Accounting Officer. We will discuss our financial results and review our business activities for the quarter. We will have a question-and-answer session following the presentation. Before we begin, let me comment regarding the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. Our comments and presentation today will include forward-looking statements or projections that involve substantial risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call. This information will likely change over time. By discussing our current perception of our market and the future performance of Silicon Laboratories and our products review today, we are not undertaking an obligation to provide updates in the future. There are a variety of factors that we may not be able to accurately predict or control that could have a material adverse effect on our business operating results and financial condition. We encourage you to review our SEC filings, including the Form 10-Q that we anticipate will be filed today that identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also, the non-GAAP financial measurements, which are discussed today, are not intended to replace the presentation of Silicon Laboratories GAAP financial results. We are providing this information because it may enable investors to perform meaningful comparisons of operating results and more clearly highlight the results of core ongoing operations. I would now like to turn the call over to Silicon Laboratories' Chief Financial Officer, Bill Bock.
Bill Bock: I'm very pleased to report revenue of $104.2 million for the quarter in line with our revised guidance, and nearly a 25% sequential increase versus last quarter. Earnings were substantially above our updated guidance due to improved gross margin and lower operating expenses. We will discuss the details in the comments that follow. Let me first cover GAAP results. These results include approximately $11 million in non-cash stock compensation charges. Second quarter GAAP gross margin increased considerably to 62.2% revenue. R&D investment for the period was $25.9 million. SG&A increased to $26.2 million. Other income, principally interest income on invested cash, was just under $1 million. GAAP diluted earnings per share, therefore, was $0.21, significantly better than forecast. Turning now to our non-GAAP results, revenue of $104.2 million was up 24.5% sequentially. Ramps in new products and excellent recovery in our access and broadcast audio businesses fuel the revenue growth. Even more impressive, non-GAAP gross margin of 62.5%, a 150 basis points sequential improvement, exceeded the high end of our target range. The strong margin performance was seen across nearly all of our product lines, and reflects cost reductions we have implemented and outstanding performance by our operation's team in response to the increasing levels of demand. We do expect these margin improvements to be sustainable. And therefore, gross margin should remain at these levels exceeding our 60% to 62% target range throughout the remainder of 2009. Operating expenses, as a percent of revenue, decreased significantly sequentially to under 40% of revenue, an improvement of more than 650 basis points. This encompasses an expected APEX increase in absolute dollar terms to $41.6 million in Q2. We executed well to our aggressive tape out schedule for the quarter, but we're able to keep R&D nearly flat at $22.1 million due to benefits and tape out related costs, and continued expense control. SG&A expenses increased to $19.5 million due to higher variable compensation and some headcount additions for application support. Operating expenses will continue to increase in the second half of the year due primarily to two factors. Variable compensation will increase with the higher levels of revenue we are anticipating. And we are preparing to resume selective hiring in critical design areas to take advantage of what we believe is a unique opportunity to attract exceptional talent. Operating income for the second quarter was 22.6%, an outstanding result and within range of our financial model objective of 25%. Other income in the period was under $1 million and is expected to remain at this level. The non-GAAP income tax rate was 22%. We expect the tax rate to be approximately 20% throughout the remainder of the year. Net income, therefore, increased to $19.1 million or 18% of revenue for the quarter. Resulting Q2 diluted earnings per share was $0.42, $0.05 above our prior expectations. The performance of our business will allow us to achieve model financial performance, even during the current economic recession. Gross margin is exceeding our target model already. Our anticipated rate of revenue growth will significantly outpace increases in operating expenses. Therefore, we expect to achieve model operating income performance of 25% throughout the second half of the year. Moving on to the balance sheet, accounts receivable increased to more normal levels as demand improved throughout the quarter. Receivables ended at $62.9 million or 54 days outstanding, a reflection of a strong June. Our customers and distributors have been paying promptly, and we have not had any bad debt or significant collection issues to date. We think receivables are in very good shape. Inventory levels increased sequentially by $3.1 million to $ 26.7 million, significantly below where we were a year ago at similar revenue levels. During the quarter, turns increased meaningfully to 5.9. Channel inventory was also up, in anticipation of strong third quarter demand. We expect our inventory to grow again in the third quarter and believe the supply chain is lean and in good balance. We ended the quarter with cash and equivalence up sequentially by $10 million to $336 million. We purchased approximately $7 million worth shares during the second quarter. We intend to remain selective purchasers of shares as we anticipate continued strong positive cash flow. I feel very good about the company's financial position, which when combined with the strong product cycles and market share gains we're experiencing, provides the platform for model financial performance and significant earnings power. I will now turn call over to Necip to discuss the positive business trends in more detail. Necip?
Necip Sayiner: Hello everyone. It feels very good to be operating at 2008 revenue levels at this point in the year, particularly with record revenue projected for the second half and our expectation that full year revenue will be up in 2009. In the first half of the year we benefited from a number of product cycles and relative strength coming from Asia. In the second half of the year we expect to see broader geographic strength as customers globally prepare for some seasonal demand improvement. We're convinced that with a few exceptions, imageries remain low and there's little appetite of our customers for building imagery. Our visibility has improved considerably, so we can now talk with greater confidence about the outlook for each of our businesses for the remainder of the year. Underpinning our strong performance, one theme is consistent. We are winning new programs and adding new customers across the board. Specifically, in the second quarter, the ramps of new products continue and we enjoyed a very strong rebound in the access and broadcast audio products, both of which were up more than 25% sequentially. Starting with the access business, Q2 was just below the record revenue level achieved this time last year due to strength in both modem and voice products. Much of the modem growth was driven by improvement in satellite set-up box demand, primarily for V.90 modems or non-US set-top boxes. Digital TV, fax, and point-of-sale also recovered off the low base from the first quarter. Furthermore, the new design wins we talked about, as net share gained recently, ramped in the quarter. The voice business was up particularly for IAD platforms serving European service providers. We announced our latest generation prospect during the quarter and have more than forty designs wins with these new products. We enjoy particular success in residential gateway and wireless external applications. Overall, we still expect the access business to be down in 2009 versus last year, but that decline is lightly to less than 10%. While we expect a slight sequential declining Q3, second half revenues will be meaningfully higher than the first half, which is encouraging from a stability point of view. In Q2 our RF business had a very strong quarter and represented about 35% of total confident revenue. Revenue increased by more than 20% year-over-year and all three of the product lines grew sequentially, audio, video, and short range wireless. Demand among consumer audio customers picked up during the quarter, although the lion share of the growth came from the success of video demodulator, shifting into TV, and our tuner products into handset. In handset, we are gaining share as FM penetration increases and our largest customers grow their market share. New features we've introduced are selling well. For example, several new models from three large OEMs are shipping with our embedded antenna solution. We're also pleased to see design wins with three of the top five OEMs for new handsets integrating our AM/FM offering, still the only AM/FM solution suitable for possible application. Our Korean customers continue to gain market share and included the FM feature into several new low cost platforms, particularly targeted for south Asia. Samsung, in particular, continues to have very high demand for our products. In Q3, which has historically been their strongest volume quarter, we expect to sustain (inaudible) market share and benefit from increasing penetration. We're also making great progress in consumer audio, which was about 30% of broadcast audio revenue in Q2. Our AM/FM radio has become the solution of choice in Asia with many new wins secured, as large radio makers via ODMs do in the quarter. We believed it will be possible to double our AM/FM revenue this year compared to 2008. While competition and ASP pressure remain fierce, we expect to see demand across the broadcast audio business further improving Q3, as we ramp new programs at large customers. And overall, we believe the audio business will grow year-over-year in 2009. On the video front, the demands will aid the ramp aggressively at Samsung as expected, contributing to the strong performance of the RS business during the quarter. We also secured four additional demodulated design wins at Tier 2 customers. We formally launched our 2170Tv tuner in the quarter and continue to believe we have the first silicon tuner with the required performance and cost structure to able to shift in high volume in first real TV. We are n the process of securing design wins for 2010 TV model large potential customers. We view 2010 as the adoption year for this innovative technology and expect high volumes to follow thereafter. The short-range wireless products grew nicely during the quarter. While still modest as a percent of total revenue, we’re excited to see revenue from recent designers materializing. Programs are ramping, involves metering and security, and our radios are often paired with our MCU offering as part of the solution. The significant design in traction is very encouraging and the opportunity pipeline is also impressive. With these positive business trends I described, we believe the RF business will grow this year at its long term target growth rate of 15% to 20%, despite the economic environment. Our growth based business was about flat sequentially, with growth in MCU and timing offering a sequential decline in the power protocol. The decline in power was due to a customer push out in Q3 and does not fundamentally alter the growth outlook we expect to see in the second half. Specifically, we’re projecting that power revenue will more than double in 2009. We launched our next generation isolated products to market during the quarter, and has seen very good sales pool from other siliconized products, which we believe will accelerate the isolated ramp. We also had our first commercial shipment of our Power over Ethernet products to a Tier 1 networking gear manufacture, the final step in ramping our POE readiness. The MCU business grew nicely, essentially bouncing back to fourth quarter 2008 revenue level. The growth came largely from our smart phone factor and USB products. In addition to stronger order patterns from existing customers, we began to shift into a number of new programs, including a smart phone inducted charger, a stereo Bluetooth head set, and automotive backup camera. We continued to see good pull through for MCUs into metering and wireless modules for medical applications as we get design wins for our easy radio wireless stamp. The number of design wins in MCU totaled about 350 during the quarter and design chip shipments were around 6,000. We’re still relying on further recovery in the broader market to see the MCU business return to historical growth rate. Based on the current outlook, we expect second half revenue to be meaningfully higher than the first half, and down only slightly for the full year. Timing revenue grew sequentially again due particularly to strength in recently introduced clocks and oscillators. Our Any-Rate clocks are ramping at all of the Tier 1 network and equipment makers. The oscillator business is expanding beyond traditional communications infrastructure. During the quarter, we converted a number of broadcast video opportunities into design win, and we now have three broadcast video customers in the top ten for oscillator revenue. For the quarter, we logged more than 150 design wins for our clock and oscillator products. With growth in timing revenue of 20% to 30% this year, we are far exceeding our end markets single-digit long term growth rate and negative new term growth rate, demonstrating the significant share gains we’re achieving. Overall, the broad based business is expected to reach record revenue levels in Q3, and grow more than 10% for the year. In aggregate for Silicon Laboratory, we expect the second half performance top dramatically improve over what we feel has been a good first half. We project we will achieve model performance of 25% non-GAAP operating income for the remainder of this year. This is notable given we are operating in the weakest macro environment in recent memory. We expect to benefit in the third quarter from new customer programs, broader geographic strength, market share gains, and seasonality. We therefore believe revenue will increase sequentially by 9% to 14% to $114 million to $119 million above our peak from the same period last year. As Bill mentioned, we’re currently expecting gross margin will remain strong and slightly exceed our target range of 60% to 62% for the rest of the year. We anticipate third quarter operating expenses will be up about 5% sequentially. On a GAAP basis, we’re projecting $0.27 to $0.32, and on a non-GAAP basis, excluding stock compensation expense, we expect third quarter earnings of $0.48 to $0.53. But now, I’d like to take your questions. Shannon?
Shannon Pleasant: Thank you, Necip. We will now open the call for the question-and- answer session so that we can accommodate questions from as many people as possible before the market opens. Please limit your questions to one with one follow up. Operator, please review the question-and-answer instructions for a conference event.
Operator: Thank you. (Operator instructions) Our first question is from Craig Ellis, Caris & Company, you may ask your question.
Craig Ellis - Caris & Company: With gross margins, with respect to some of the internal improvements that you’re making and how that’s offsetting any pricing pressure that may exist in some of the businesses?
Necip Sayiner: Craig, I think we missed the first part of your question, could you please repeat it?
Craig Ellis - Caris & Company: Yes. Sure, Necip. The question was on gross margins, and I was asking if Bill could provide some more color on what operational improvements you’re making to drive the magnitude of improvement that we saw in the second quarter.
Bill Bock: Well, we improved, Craig, by about 150 basis points. We are enjoying the results of post production activities that the operation team had been working on all year. Certainly, some of this is and a cost passed along to us from our vendors. In addition, we are benefiting to return to more normal volumes that we were experiencing at this point last year. The ASP environment has held relatively stable. So in general, we’re the beneficiary of good trends across the board that resulted in this above margin or above model gross margin performance.
Craig Ellis - Caris & Company: Okay. That helped --
Necip Sayiner: I will also add some activities with our product engineering teams and reducing tech time and increasing yield, therefore, reducing the cost of our product in general.
Craig Ellis - Caris & Company: Okay, and then, Bill, you mentioned that there might be some select hiring. Can you just talk about areas of the business where you see an opportunity to add capability? Maybe that question is better for Necip on the engineering side. How do we think about the way the company is viewing the potential to grow in its either engineering or field sales or filed engineering base?
Necip Sayiner: We have started adding some resources and application support, Craig. This is in order to support design wins with new products we brought to market recently. We also intend to start hiring selectively into our business units, particularly in design and applications. I think the environment is ripe for us to pick up some exceptional talents, as we see the recovery of our revenues to be stable. Going forward, we feel it’s the right to start reinvesting in the business and fund some of the projects we had in our new product funnel.
Craig Ellis - Caris & Company: All right. Thanks, guys.
Operator: Our next question is from Adam Benjamin with Jefferies & Company. Your line is open.
Adam Benjamin - Jefferies & Company: Thanks, guys. Just curious, obviously, you're hitting your target models here a lot sooner than you thought, and business has recovered. But if you look beyond the second half, and I know you tend to be all conservative, and why wouldn’t you, given the environment. But as you look out to the four business lines that are ramping, it’s still very early in terms of their size and carrying, it seems to be higher gross margin. I was wondering if you could give us some color as to how we should be thinking about next year and how the gross margin trend could proceed from here as well as the operating margin target. Thanks.
Bill Bock: Even though we are projecting the gross month margin strength to continue into the second half of the year, we’re reluctant to increase our gross margin target range. First of all, we’re certainly not certain about market environment for 2010 and beyond. But as importantly, as many product lines as we have in early part of their life cycle, we feel that raising the grow margin expectations would impact our pricing policy, and therefore, the growth potential of those businesses and we certainly do not wish to impede growth potential of those businesses at this point in time
Adam Benjamin - Jefferies & Company: Got you. And then, just on the FM tuner business, obviously, there’s been a lot of focus on that historically and you guys have taken a conservative little approach to that. But with the ramp of the AM/FM and providing some stability to pricing as the next shift happens there. And then you talked about, Necip, 15% to 20% of that business growing and within your target, how should we be thinking about that going forward? It seems to continue much longer than you had thought, as well as others.
Necip Sayiner: As you look at the audio business for the full year, we think that the handset business modestly year-over-year, we’ll see a higher growth rate in our consumer audio business, part of which is going to be made up for in a decline for PND. We think that we are very well positioned with our large customers in the handset market who continue to increase their tax rate for FM functionality and continue to adapt the new features that we are introducing, such as embedded antenna. As mentioned, a few top audience also started designing in our AM/FM radio into new handset models. We feel very good about the progress we made in consumer audio with AM/FM, particularly in Asia with large names as well as smaller outfits, and in China and we think that projected will continue well into 2010 and beyond. So I think, a potential for our audio business to continue to support this growth in the RF business is very much intact.
Adam Benjamin - Jefferies & Company: Got you. Just one last question, if I can. You’ve got about four business lines ramping that continue to grow. As we look into next year, you think we should be hearing about any additions to those -- to that four?
Necip Sayiner: I think the product lines who have supported our growth thus far are also going to carry us into 2010. Many of those product lines are still very early in their life cycle, so we think there’s a lot of runway in all of those product lines going forth.
Adam Benjamin - Jefferies & Company: Got you. Thanks, guys.
Operator: Our next question is from Romit Shah, Barclays Capital. Your line is open.
Romit Shah - Barclays Capital: Thanks for taking my question, Necip and Bill, on a good quarter. Just -- I wanted to follow up on your comments about the second half. Every semiconductor company expects consequential growth in the current quarter, but at the same time, most are still highly uncertain about the impact of the macro on real demand and historical seasonality in Q4. It doesn’t seem like you expect any sort of choppiness on the second half. And so I’ just curious what’s driving this confidence so early in this softer period?
Necip Sayiner: Well, at this point in time, we are ramping a number of new programs with large customers, particularly in our RF business. We’re enjoying product cycles in video and timing, and power. So these cycles and ramps are going to mitigate any uncertainty that exist in the macro environment for us. We don’t see any inventory build-up. Perhaps there are a couple of notable exceptions to that, with some customers seizing the opportunity to increase their market share in their respective segments. But, by and large, the inventories remain low, our visibility has increased considerably over the last 60, 90 days. So while the sequential growth into 4Q may be modest and be moderated by the macro environment, we feel that we can manage our business to maintain model operating income for the entire second half.
Romit Shah - Barclays Capital: And, Necip, you mentioned that channel inventory grew in Q2 and that’s your expectation for Q3 as well, but you’re still overall comfortable with the absolute level?
Necip Sayiner: Yes, we are.
Romit Shah - Barclays Capital: Okay. And then last question for me. Bill, just -- I haven’t done the math, but is it still accretive to buy back the stock at these levels?
Bill Bock: I believe the calculation would still show that share repurchase would be accretive. You will notice that in the last couple of quarters, we have scaled back the level of our repurchase activity considerably from where we were during 2008. So while we expect us to remain selective buyers in the market, our pace will be more likely similar to the first half of this year than it was to the 2008 level.
Romit Shah - Barclays Capital: Okay. Thank you very much.
Operator: Our next question is from Tore Svanberg, Thomas Weisel Partners. Your line is open.
Tore Svanberg - Thomas Weisel Partners: Yes. Thank you, and a great quarter. First of all, you talked about the Silicon timing market and you know how that will probably not really show any growth this year, yet your business will be up dramatically. So can you just talk a little bit of where we are or perhaps what ending we are in as far as your share gains and constant growth in this market please?
Necip Sayiner: I believe we are in still in the very early innings in terms of our growth in timing business. Our product portfolio, as it stands today, addresses a market of roughly $800 million and in spite of the considerable growth we are able to show this year, we still have relatively low market share. Many of the programs that are ramping this year have been won 12, 18 months ago, and we have seen an increase in our design win traction in that period, which was a favor, going forward, revenue growth that we would expect to see from this business. In addition, we have brought to market several new products in the second half of last year and we continue to develop new products to fill the portfolio. So I would say we are really in the very early innings for our timing business.
Tore Svanberg - Thomas Weisel Partners: Great. And then a question on video, it’s obviously starting to ramp now. Could you give us a sense of how big that is? Has it become a percentage of broadcast? And will this product line maybe eventually crossover consumer audio, as far as contribution to revenue? Thanks.
Necip Sayiner: This year our media revenues are solely from demodulator products and primarily from one customer, Samsung. We have won in those last 90 days new programs with some Q2 customers, particularly in IP setup boxes. I think the growth in that business will largely come in the future years from our TV tuner. We have made very significant progress in the last quarter with our alpha customers, working very closely with them to mature the product and make sure that all the needs of their application have been addressed. Roughly six months after we started sampling the product, I think it’s notable that we still are providing product from the same base layers for a product of such complexity and performance spec. And I think it’s very impressive and talks to the technical quality of the product.
Tore Svanberg - Thomas Weisel Partners: Great, just a quick one for Bill. Bill, did you give the cash flow from operations number on the call?
Bill Bock: No, I don’t think we specifically addressed that. Go ahead, Paul.
Paul Walsh: Tore, this will be filed in today’s Q. You’ll see it all there.
Tore Svanberg - Thomas Weisel Partners: Great. Thank you.
Paul Walsh: Approximately in the $10 million to $15 million range.
Tore Svanberg - Thomas Weisel Partners: Very good. Thank you.
Operator: Our next question is from Alex Gauna with JMP Securities. Your line is open.
Alex Gauna - JMP Securities: Yes. Thanks very much. I’m wondering, you’ve guided now to some persistence in gross margin above your target levels. I’m wondering if you can drill in to, say, what some of the market trends are in your higher margin product areas? For example in networking where, if I understand, current conditions are still relatively muted so we actually see business pick up at the end market level. Couldn’t we drive even further beyond your target margin levels? What are your thoughts on that if we get recovery and maybe, are we already seeing recovery in a run rate basis?
Necip Sayiner: I think at this revenue levels, our timing business probably is not the best proxy for the health of the networking business, Alex. We feel that our revenue growth is solely being driven by market share gains although the first half in networking usually tends to be seasonally healthier than the second half, as you know. So if you do get improvement in enterprise spending and operated CapEx, we would certainly benefit from higher run rate. But at this point we think that the benefits in the timing business that we see are all driven by market share gains.
Alex: And if I could follow up on that topic, you mentioned where you’re seeing some customers maybe looked to take advantage of the current market softness to pick up share. Can you comment, a, on maybe what some of those specific areas are where you’re seeing strategic inventory built specifically? And then maybe in your instance, you’re taking sure a lot of different categories clearly are. Can you give any color about where the market environment might be helping you, in addition to your technology strength?
Gauna -: And if I could follow up on that topic, you mentioned where you’re seeing some customers maybe looked to take advantage of the current market softness to pick up share. Can you comment, a, on maybe what some of those specific areas are where you’re seeing strategic inventory built specifically? And then maybe in your instance, you’re taking sure a lot of different categories clearly are. Can you give any color about where the market environment might be helping you, in addition to your technology strength?
JMP Securities: And if I could follow up on that topic, you mentioned where you’re seeing some customers maybe looked to take advantage of the current market softness to pick up share. Can you comment, a, on maybe what some of those specific areas are where you’re seeing strategic inventory built specifically? And then maybe in your instance, you’re taking sure a lot of different categories clearly are. Can you give any color about where the market environment might be helping you, in addition to your technology strength?
Necip Sayiner: Well, I’m not at liberty to talk about specific customers or even segments where this market share gain opportunity may lie for our customers, but I can respond to your question on the pricing dynamics. In one of the most cost-sensitive segments we competed in, the handset competition continues to be very fierce. I think we are able to respond to the needs of our customers by continuing to focus on cost reductions and also continuing to provide very good value in terms of performance and additional features. But the overall market environment for pricing continues to be challenging for all suppliers.
Alex: Okay. All right, thank you very much. Congratulations, powerful quarter.
Gauna -: Okay. All right, thank you very much. Congratulations, powerful quarter.
JMP Securities: Okay. All right, thank you very much. Congratulations, powerful quarter.
Necip Sayiner: Thank you.
Operator: The next question comes from Suji De Silva with Kaufman Brothers. Your line is open.
Suji De Silva - Kaufman Brothers: Good morning, Necip, Bill. Good job on the quarter, guys. Did you say, Necip, what the percent of revenues was from video, either in broadcast or total?
Necip Sayiner:
Suji De Silva - Kaufman Brothers: Okay, do you still expect -- do you expect more Tier 1’s in the 2010 time frame on top of Samsung? Is that your expectation?
Necip Sayiner: Well, certainly with our TV tuner, we are engaged with a number of household names, large TV makers, yes.
Suji De Silva - Kaufman Brothers: Okay, great. And then the --
Necip Sayiner: Although we have nothing to report yet.
Suji De Silva - Kaufman Brothers: Okay, good. And then on the mic-controller side, you’ve talked about autos being a potential opportunity. Is this a backup camera opportunity at the beginning of that or are we still very early in that opportunity?
Necip Sayiner: This has been an ongoing string of design wins, and some of which have already started being reflected in revenue, but there’s much to come in terms of revenue because of the long designing cycle.
Suji De Silva - Kaufman Brothers: Okay. And then lastly on the product pipeline here, it’s been very robust for the last couple of quarters. How does it look in terms of new launches as we go through the second half of this year in 2010 versus what you’ve already been able to accomplish at thus far in ‘09? Thanks.
Necip Sayiner: I think we feel we made the right decision early in the year by not compromising any of the new product development. We feel good about everything we have in the pipeline. And as I mentioned earlier, given the stability that we see in the business, we’ll be in that position to start putting in incremental investments into our R&D pipeline later in the year.
Suji De Silva - Kaufman Brothers: Okay. Thanks, guys.
Operator: Your next question is from Gus Richard with Piper Jaffray. Your line is open.
Gus Richard - Piper Jaffray: Yes. Nice quarter, thanks for taking my question. On the AM/FM tuner in the cellphone, you mentioned you had three out of the five top suppliers. What’s your expectation of the transition from just FM to AM/FM? And where do you think the tax rate goes over the next few years?
Necip Sayiner: Including the AM/FM feature into handsets with the requirements on the antennae has been a challenging undertaking for handset customers. But at this point, three of the top five have invested in and been successful in implementing it in their phones. Those phones are at this point largely targeted for South Asia and South America. I think the tax rate and the adoption rate will depend on the success of those early models from those customers. So I think it’s going to be a little premature to project what kind of tax rate we can expect to see in handsets.
Gus Richard - Piper Jaffray: Okay. And then a second question on your access business, it looks like you had a really good quarter on embedded modems and Voice over IP. Is that primarily driven by market share gains and how sustainable is momentum in that in those product lines?
Necip Sayiner: There’s an element of market share gains. We’ve talked about that Point-of-Sale, share gain in Europe, as well as a set-up box gain in Europe the last quarter. Both started ramping in the quarter. So we benefit from that, but also, we have seen higher dips of TV sale in Japan. I think the pay-per-view broadcasters have been relatively immune to the downturn and we continue to benefit from our large share there. We’ve also seen some upside from tender business in the quarter from some set of our set-up box customers.
Gus Richard - Piper Jaffray: Great, thanks. That’s it for me.
Operator: The next question is from Arnab Chanda with Roth Capital. Your may ask your question.
Arnab Chanda - Roth Capital: Thank you very much. A couple of questions, first of all, I just wanted to make sure I understood this properly. I think each of you mentioned that the access business is going to be down slightly in Q3 and then meaningfully higher in the second half? Could you talk a little bit on what the drivers are for that?
Bill Block: I think all this is saying on obvious that we had a horrible first quarter in terms of our clients in the access business. And now we are back to the revenue and volume levels that we enjoy same period last year. You know, it’s not uncommon that we would see a decline into third quarter from the second quarter, if you look at it historically. So this is all a reflection of a very weak first quarter, which is behind us.
Arnab Chanda - Roth Capital: Great. And then one other question about that, obviously, in your Mature product line you’re seeing modems starting to get replaced in PCs. Is there a possibility or can you talk a little bit about what the longevity of your modem business is in the embedded modem market?
Necip Sayiner: Sure. I think that we have been able to increase our volumes in embedded modems for a number of years now. And that has been a combination of stable overall volumes, and our market share gains, and our push into new markets, particularly into fax areas. I think that the near to mid term is pretty stable for embedded modem business. If you look out five, ten years, you would certainly see the volumes eroding as some of the analog modems get removed from certain equipment. But for the next several years, I see the volumes stable, relatively stable. And we are making a dent in the fax area, which compensates for some of these dynamics.
Arnab Chanda - Roth Capital: Great. And then, a question about your video business, your TV tuner that you just launched, if you could just explain the opportunity there a little bit. Should it differ by standard or by what digital TV’s standard geographic center? Or is this tuner basically address the possibility of the entire TV market worldwide?
Necip Sayiner: The tuner product we brought to market, addresses the entire TV market. It supports all the digital TV modulation schemes, but also, analog TV. So we are able to compete worldwide with our tuner. And when you think about a few hundred million TVs being sold every year and multi-dollar ASPs, that’s a very significant temp for us.
Arnab Chanda - Roth Capital: And then last question about the trajectory of the Mature business, it seemed like it bounced up in Q2. What do you see that going towards? Is it basically going to stay here at these levels or do you still expect that to decline over time? Thank you.
Necip Sayiner: Let me give a perspective. Last year, Mature business was just under 10% of our revenues for the full year. We are now running just under 5% of our revenues. So Mature product revenues are cut in half, year-over-year. And we expect that the Mature products will stay under 5% for the remainder of the year-end, will decrease further in 2010.
Arnab Chanda - Roth Capital: Thank you, Necip. Thanks, Bill.
Operator: The next question is from Sandy Harrison with Signal Hill. You may ask your question.
Sandy Harrison - Signal Hill: Yes. Thanks for taking my question this morning. On the MCU side, as you look at your new opportunities in that segment and your investment in that segment, where do you see the direction going as far as adding tangential or adjacent functions?
Necip Sayiner: So we continue to build our portfolio, first of all. And we also have identified a number of applications where we are making some targeted investments to provide more support, more collateral to the customer base, to increase the design win percentage, the numbers that I alluded before the quarter, and have been record numbers in terms of design wins for MCU. And we are certainly benefiting from that additional strategy of identifying the verticals and supporting them. Metering is a good example of it. We’ve made a targeted push into smart metering. We have other products that we can pair with MCUs, particularly wireless products. So that strategy is paying off. And we have a number of those that we are working on today, as well as developing new products for.
Sandy Harrison - Signal Hill: Are you comfortable that your current micro-controller technology is where it needs to be to accomplish that? And do you feel as though you need to move upstream for some of these other applications or to expand the temp? Or are you comfortable staying where you are with your baseline technology?
Necip Sayiner: Sandy, if you’re referring to investing in let’s say a 32-bit MCU, I think this is something that we are certainly going to do down the road. At this juncture we continue to see more opportunities and better return on investment in staying where we are and just supporting more applications and do an even better job in getting tractions in those applications.
Sandy Harrison - Signal Hill: You read my mind. Thanks for taking my questions.
Necip Sayiner: Thank you.
Operator: The next question is from Craig Berger with FBR. You may ask your question.
Craig Berger - FBR: Hey, guys. Great job on the quarter, and thanks for taking the question. I know your crystal ball isn’t probably any better than ours, but how should we be thinking about sequential growth of the lack thereof in the fourth quarter?
Necip Sayiner: I can give you the following trends. We talked about our broad-based business hitting a record level in 3Q. We are likely to maintain that strength into 4Q. The access business, historically, has been flattish into 4Q. So the trade up really comes in our RF business. I think we’ll benefit from the ramp of some customer programs for the second half. Some of that may be mitigated by the ordering patterns of some large customers, in particular Samsung historically have had their volume high -- peak volume order in Q3. So there are some puts and takes there. I would say that if we do see a growth into 4Q, that would probably be modest.
Craig Berger - FBR: Thank you. And then the next question is, when we look at the FM tuner, the traditional tuners or with integrated antennas, or some of these newer features, but basically looking at the tuners and looking at the top customers, how far into the mainstream have these products penetrated thus far? And where do you think that penetration rate is going over the next year or two?
Necip Sayiner: You’re referring to handsets. Right, Craig?
Craig Berger - FBR: Yes.
Necip Sayiner: Penetration or attach rate, I should say, certainly exceeding our own current new model, 50%, so large customers are putting in majority of their models, the FM feature. Our market share with our large customers is very strong, and in some cases, improving. Our market share is particularly strong on the lower end segment. And that’s where any growth in handsets has been in 2009. So we benefited from a combination of higher attach rates, slightly higher market share gains, and introduction of some higher value products into mainstream.
Craig Berger - FBR: Last question on micro-controllers, is there any indicator you could give us about what growth might look like there in 2010? You used to report design kits shipped, or any other commentary around that business? Because you’ve only got a point of market share overall, which suggests there’s still plenty of growth potential. Thank you.
Necip Sayiner: I think even with the slightly down year we’re projecting for the MCU business, you even have some of the MCU players forecasting their revenues to be for this year, it still points to a share gain for us. And I would certainly expect that gain to continue into 2010. But I think it’s too early to really be able to put a number on what kind of growth we expect to see. That still in mind, remarks need a macro-environment to improve further before we can target our historic growth rates. Certainly, the current design win traction rate and the number of kits shipped are encouraging.
Craig Berger - FBR: Thank you.
Operator: Our last question is from Srini Pajjuri with CLSA. You may ask your question.
Srini Pajjuri - CLSA: Thank you. Good morning, guys. Bill, a lot of questions on growth margins. I’m just thinking about the first half of next year, now. Obviously, your consumer business is going to be down. And I’m guessing that should help your gross margins, and not actually hurt. I’m trying to think about the puts and takes as we enter 2010, and what gives you some comfort with this? And what are some of the concerns?
Bill Bock: Yes, Srini. I think the biggest questions for us looking out into 2010, relate to what the state of the macro-economic environment will look like. We’re obviously enjoying a strong period presently in an environment of recession. And currently, we don’t have any more clarity into what 2010 will look like on a macro scale than anyone else. So we’re cautious about that. We do know, entering next year, we’re going to go through a new round of ASP declines with most of our customers, which is typical. So we would expect to see continued ASP pressure and competition in several other markets in which we participate. For those reasons and those concerns, we’re holding to our existing model of 60% to 62% as being appropriate. And we’ll give you more visibility into what we think gross margins can actually be as we get a little closer to the beginning of next year.
Srini Pajjuri - CLSA: Fair enough. And then Bill -- Necip, for you, on the AM/FM business. The trend is somewhat, obviously, surprising, even though Samsung and LG are gaining share. But my question is, as you look out to the next few quarters, besides your customers gaining share, do you see any further share gain opportunities outside of just your customers gaining share? And then, if you can talk a little bit about the puts and takes of just the handset part of the business?
Necip Sayiner: I think in the handset business, we would generally target to hold our share, and wherever possible, move our customers to the higher value products with additional features. There’s obviously an opportunity in handsets with AM/FM feature if that feature were to be taken up significantly, now that we have more support from handset OEMs for the future. We continue to be most excited about the opportunity in the consumer audio, however. We have registered design wins with household names in home audio and home theater in Japan and Korea. We continue to register a large number of new design wins in China, with boombox and iPod docking station makers. It’s just that the design wins are proliferating at a very strong rate. So we are most encouraged in this strategically important area of consumer audio for us, going forward.
Operator: Thank you. I’d like to now turn the call back to Ms. Pleasant.
Shannon Pleasant: All right. Thank you for joining us. This now concludes today’s call.